Operator: Good afternoon, and welcome to the Sonim Technologies Incorporated Fourth Quarter 2020 Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Matt Kreps, Head of Investor Relations. Please go ahead.
Matt Kreps: Thank you, and welcome everyone to today's Sonim Technologies' results call for the fourth quarter ended December 31, 2020. Sonim has just distributed a press release and filed the Form 8-K with the Securities and Exchange Commission. Those documents are available on the sonimtech.com website under the Investors link. Information from that press release includes historical financial results, some of which will also be discussed in the company's remarks on this call. Please note that certain information discussed on the call today will include forward-looking statements about future events, Sonim's business strategy, and its future financial and operating goals and plans. These forward-looking statements are only predictions and are subject to risks, uncertainties, and assumptions that are difficult to predict and may cause the actual results to differ materially from those stated or implied by those statements. Certain of these risks and assumptions are discussed in SEC filings, including our most recent quarterly report on Form 10-Q and the most recent annual report on Form 10-K, which we expect to file in the next few days. These forward-looking statements reflect management's belief, estimate and projections as of the date of this live broadcast, March 10, 2021. And Sonim undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this conference call, except as required by law. Now, I would like to turn the call over to Tom Wilkinson.
Tom Wilkinson: Thanks, Matt, and hello to everyone joining us on the call and online. 2020 was a year of transition and transformation for us as we've communicated on prior quarterly calls. We've implemented changes that position our business to deliver a more diverse range of products to broader addressable markets and new geographic opportunities on a global scale. A big part of that transformation in 2020 was about reducing our operating costs and moving to a lean and flexible operating model. We have made great strides in that direction. Most of which were initially reductions in costs and creating efficiency within the business. I would like to spend a few minutes on the most recent pieces of that puzzle, which have recently been completed in shift previously higher fixed costs of what we believe will be lower in variable costs that are more favorable on an operating basis. In December, we struck an agreement with Coforge to transfer the bulk of our software team in India, to their company and entered into a cost advantage agreement to continue providing software services for current and future products. This agreement accommodates our company's forward path of working with ODMs for product development, including most of the software configuration. We have retained within our company, the resources necessary to perform the more differentiated software work such as MCPTT, Z-Axis and our SonimWare products. Overall, we expect a more predictable and manageable costs for our software work while also supporting our customers. In the second cost saving move, we outsourced our manufacturing assembly work to Unicair, one of our existing supply chain partners. Our experiences in 2020 help solidify the clear need for contract manufacturing. In the first quarter of 2020, we were compelled to shut down our production, but we were not able to shut down our costs, resulting in a much higher than normal cost per unit. Likewise, as we experienced variability in demand from one quarter to the next, we would also see unacceptable variability in cost per unit. By moving from a high fixed costs in-house manufacturing system to contract manufacturing, we believe we have stabilized our costs at a favorable rate. Our contract manufacturing partner has locked in the cost of assembly per unit for our existing products at a level of more comparable to our historically most efficient quarters. And we expect that it will stay that way through the life cycle of our existing products. Our plan is that future units manufactured by our ODM partners with the same stabilized results. Third, we have made a shift to increase the use of ODM partners in new products. Our current ODM partners are UniStrong and FIH, a subsidiary of Foxconn. UniStrong has been our development partner for our newly released rugged smart scanners and rugged tablets that I will talk more about in a moment. And we just announced that FIH is working on our next generation rugged feature phones. We have developed strong relationships with both of these partners. There are many advantages to working with an ODM partner, including leveraging their existing development work and a larger volume supply chain, as well as leaning on the ODM's ability to invest in the product development to enhance our own balance sheet efficiency. While we are receiving excellent engineering support from both partners, our software and hardware engineers are directly involved in the whole process to add our particular and differentiated expertise as well as our attention to quality. Now I'd like to talk about some of our exciting new products, which are key to Sonim’s future growth. In Q1, we began shipping the first of our smart scanner product platform, the RS80. This eight-inch screen rugged barcode scanner will provide both the scanning function and a larger screen user experience that is missing from the current market. By integrating our SonimWare suite of software, including Sonim Scan, we are supporting the centralized management and deployment of these devices for a broader range of enterprises. The RS80 is configured for stand-alone are connected by Wi-Fi or LTE with a focus on data collection. We've also developed and expect to ship in Q2, the RS60, our rugged handheld computer and barcode scanner, providing similar functionality to its larger sibling, but with a more compact six-inch screen. Also integrated with SonimWare and Sonim Scan, this version will be connected by LTE and is configured for voice and data. You might recall that I conducted our last quarterly results call using a test model of RS60 and performed flawlessly. The RS60 has been submitted to AT&T for certification. We are very excited about our ongoing work with our next generation of feature phones. Feature phones are Sonim’s highest volume products and deliver the ultra rugged durability that our customers value. Many customers want the voice focused dependability of a feature phone with integrated PTT features without the complexity of a full smartphone. A particular note, while our feature phones are highest volume products and consistently get strong positive reviews from customers, they do not currently support use in Europe or the rest of the world. That is an opportunity that we will address starting in 2021. Our next generation feature phones will utilize new processors for increased performance and expanded network support, for additional and new carriers in the U.S. as well as in Europe and the rest of the world. These next generation devices also include new features and usability requirements based on feedback from our current customers. One area where our feature phones have done well, especially the XP5s is for commercial customers moving from radios to push-to-talk over cellular. This includes areas like school bus communication, security deployments and industrial deployments. We moved towards push-to-talk over cellular is projected to have a strong growth for a number of years in both North America and in Europe. We expect the first of our next-generation feature phones to release in the third quarter of this year and additional form factors to follow. We’re incorporating a number of customer during the features into the design, particularly for our LMR to push-to-talk user who are used to certain network capabilities that we can incorporate into our device to be even more competitive in that market. We are continuing our work to transition our product set to 5G. This new technology continues to rapidly evolve as it rolls out around the world. At the outset, there was a great deal of uncertainty around chip availability, costs, functionality and end user pricing. As we’ve engaged in the process, we purposely held off on development to position ourselves better for the long-term. We understood that our most of our end user customers would not be able to take advantage of 5G performance in 2020 or 2021, making a rush to market unnecessary and potentially costly if we made the wrong choices. However, we also understand that 5G is the future, and it’s important to engage in the technology at the right time. Based upon the roadmaps that we are seeing from bleeding mobile processors, we are starting to see some stabilization in the chip choices for 5G. Therefore, we are engaged on future generations advices to be released with 5G capabilities, along with our own industry-leading ruggedness and SonimWare functionality that Sonim is known for. Let me stop here for a few minutes and ask Bob to cover our financial results. Then I will share more about our strategy ahead and the continued transformation of Sonim.
Bob Tirva: Thanks, Tom. Our press release issued earlier today, announced the results for the fourth quarter ended December 31, 2020. A copy of the release is available in the Investor Relations section of our website. Net revenues for the fourth quarter of 2020 increased to $15.8 million. The sequential increase in net revenues was primarily attributable to an increase in sales of our XP8 smartphone. As mentioned in our prior call, the XP8 was recently upgraded to the Android 10 operating system, which has extended the life of that product. Shipment of XP8 increased by 42% on a unit basis over the prior quarter, this was partially offset by a decline in sales of our feature phones of about 19% on a unit basis versus Q3. Gross profit for the fourth quarter of 2020 was $3.7 million or approximately 23.5% of net revenues, which is down from 30.6% of net revenues in the prior quarter. As discussed on our last call, the margins in Q3 benefited from lower than expected customer discounts and rebates that were required to sell our products in that quarter. Margins in Q4 were negatively impacted by rising component prices for certain legacy products, which are approaching end of life. We anticipate that margins will stabilize as our new products begin to ship throughout 2021. Looking at our operating expenses. Total operating expenses for the third quarter came in at $11.2 million. This represents an increase of $672,000 from the Q3 level. The increase is primarily the result of a $2.3 million increase in R&D expense over Q3, which was driven by the accelerated development of our next-generation products. The increase was partially offset by a decline in SG&A, which is a reflection of our continued commitment to maintaining a lean operating model. Net loss for the fourth quarter of 2020 totaled $6.4 million compared to a net loss of $8.3 million in the fourth quarter of 2019 and compared to a net loss of $6.5 million in the third quarter of 2020. The sequential and year-over-year decline in net loss reflects the improved operating model efficiencies Sonim has implemented to date. Turning to the balance sheet. Our cash balance at the end of December was $22.1 million and we remain effectively debt free. The decline in our cash balance is primarily attributable to our net loss of $6.4 million for the quarter, a $2 million payment to settle our securities litigation as well as payments made for our ODM partners to help develop our next-generation products over the next few quarters. As Tom mentioned, we believe that given our improved operations and strong balance sheet, we have sufficient capital to develop and launch our next-generation of products, as we execute our 2021 plan. As in previous quarters, we will not be providing specific guidance today. However, I would like to point out that we continue to wind down the sales of our legacy products, while our next-generation products led by the RFID in March are just beginning to ship. In addition, Q1 is a seasonally low quarter for our business historically. These factors could impact our top line growth in the near-term. I will now turn it back over to Tom for some additional comments.
Tom Wilkinson: Thank you, Bob. We're at the point where we have taken the company through a year of operational transformation. The pace of transformation was assuredly influenced by the COVID-19 pandemic. But as we have gotten through our business changes, hopefully too, we are announcing the end of the pandemic itself. Going forward, the Sonim story will not be about reorganization and cost cutting. Rather, we will now build our company through products and market expansion. New rugged barcode scanners, rugged tablets and our refreshed rugged cell phones will quadruple our addressable market by the end of 2021. Our sales team has expanded to Europe, we have started a U.S.-based inside sales team and our centralized marketing efforts are growing. We have been partnering with distributors to expand our geographical reach to leverage the relationships with key channel partners, a key part of my success and our pioneer in operating rugged business. We expect these investments in product and people will create future growth and expand our leadership and brand recognition for rugged electronics. While we bring our new devices to market, we intend to remain lean in order to focus our resources on research and development, to maintain our reputation for innovation and ruggedness and work enabling software tools for our first responder and industrial customer base. Our dependability is paying off. One recent example is a large U.S.-based company that has decided to refresh 8,000 rugged feature phones with up-to-date models, this right to be able to look at something as rugged and as long lasting as Sonim product, but also having recurring revenue stream from satisfied customers. We expect to find and develop more opportunities such as this with investments we've already made to our sales and marketing systems and to relationship development with historical customers. The Sonim team is excited and ready for the challenges ahead. With that, I will now turn it back to the Operator for our Q&A session.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Mike Crawford with B. Riley. Please go ahead.
Mike Crawford: Thanks. Can you talk about how the business model works through the channel? Are you recognizing revenue as the new tablets go into the channel and when they're sold through and maybe further, if you could give any commentary on potential expectations of revenue for such product in the back half of this year?
Tom Wilkinson: So great question. Each of our channel partners will have their own unique agreement. Our goal is to enter into an agreement that would allow us to recognize revenue as we ship. So that we can reduce the amount of work later and trying to turn it how much it’s sold through should a – should an agreement work in another way. We would be – we would have to coordinate, but we would be looking for those, that type of distribution partner to report swiftly and quickly, and not hold too much inventory at any one time, so that we’re pretty close to an on ship, on ship-out kind of arrangement. With regards to the back half of the year, as I can quote our CFO, Bob Tirva, we don’t give guidance for the future even on kind of a particular unit basis, but our Q1 sales of the RS80 have gone very well. We believe by the end of this month, we will have shift our – shipped out all that we have been able to manufacture. And then we’re looking to ship both the RS60 and RS80 for Q2.
Mike Crawford: Okay. Then, two kind of related questions on the Sonim Scan. So, one, what are some of the proprietary attributes of this software? And then two, I think your – there could be a recurring element revenue element to Sonim Scan? Is that true?
Tom Wilkinson: Well, on our XT8, we have a recurring revenue for Sonim Scan, which is a camera capture basis technology with, as we’ve rolled out actual barcode scanners, it’s intrinsic to the functionality of the device. So, basic barcode scanning is not a – it’s not a revenue stream for us, because they need to function a swipe. But Sonim Scan is tied into the entire suite of SonimWare products, which is how we expect to create loyalty and be the preferred manufacturer for any new customers, because we’re offering – in Sonim Scan, we’re offering them Sonim SOS. We’re offering tools that help them with centralized deployment. And we expect that the ease of use of our software and managing the – what would hopefully be thousands of devices in the field will make us the go-to choice time and time again, for all of their products.
Mike Crawford: Okay, great. Thank you. And then last question is I believe you’re introducing these new products that pretty disruptive price points relative to what might be out there from Zebra or someone else. Is that the strategy going forward or do you – is that more of an entry pricing strategy?
Tom Wilkinson: Well, no, I mean, what we saw as an opportunity here is that we could be product design differentiated as well as price differentiated on a permanent basis. And so no, it’s not just sort of a short-term thing. We believe – that we’ll be able to be in this space and be successful long-term.
Mike Crawford: Okay, excellent. Thank you very much.
Operator: [Operator Instructions] The next question is from Martin Yang with Oppenheimer. Please go ahead.
Martin Yang: Hi, good afternoon. Thanks for taking my question. Can you maybe, talk about you know, on a like-for-like basis, how does the ODM model provide operating savings for you? And does it allow you to address new verticals in the future more effectively when the opportunity arises?
Tom Wilkinson: That’s a great question. So, the biggest difference is in our ability to variabilize our costs of production. we can produce one unit. We can produce a 100,000 and the price from the ODM is appropriate to one unit or a 100,000 units. So, when we have over under-capacity quarters, we’re not going to see at all the variability in our manufacturing costs that we’ve been seeing in the past. Now, on top of that, when we work with an ODM, we worked to use their supply chain and the larger ODMs are working with us and working with numerous other product companies out there and just as an example, FIH, making cell phones for other people. therefore, we can lean upon their larger purchasing in their supply chain to get lower costs on our devices than we could really ever possibly do with our own purchasing internally. So, those are the real key issues on profitability. I think Bob has some thoughts on this as well.
Bob Tirva: Yes. I would just add that the same goes on the R&D side. So, we have currently, a small spike in R&D spending, because we are working with our ODMs to get the new products out quickly. And once those products are out in the market, that spending will be reduced. in the past, the company, those were all staffed employees within the company. So, you would continue to carry that cost maybe, supplement it with contractors when you’re rushing to get a new product out, but at the end of the day, you’re still, you saw the base cost that you have to carry, and that won’t be the case for us going forward as much other than the key resources that we keep to differentiate our products in key areas. It wouldn’t be the same across the board though.
Tom Wilkinson: Yes. And I think you had a second part to your question, which was how does this impact, I guess, a product expansion. And that’s really where having ODMs does help trying to get everything in-house, we’re limited by the number of engineers that we have or can hire and you end up; if you want to get into new areas, you can create some inefficiencies around having to hire people that could not be completely utilized. by working with ODMs, we can obviously work with multiple ODMs. We’re doing that now. we can work with the ODMs, who are specialists in their field and further the excellence of the products that we come up with.
Martin Yang: Great. So, a follow-up on that is, can you maybe, describe the cost associated with new products being developed with ODM or – so I think Bob mentioned that there’s – there could be a temporary spike when you try to accelerate certain product developments, are the in vitro – are the cost characteristic is bulky in a sense that you will put out a more sizeable outlay in the beginning of the project, and then – and they share the cost with your ODM partner or that the cash flow characteristics of the R&D in the ODM model more regular, more spread out through all the projects.
Tom Wilkinson: So, I’ll let Bob talk to the – to kind of the timing, but the overall theory, and what we’ve experienced consistently is that the ODM’s cost of development to us is much less in total than our internal costs would be. A part of that is their own efficiencies and a part of it is that they are investing into the product development themselves. So we're not necessarily incurring the full cost.
Tom Wilkinson: I think as far as the timing goes, it really depends on the project itself. And we hope to have a smoother future where we're kind of getting one product out to market just as we start to develop the next one versus a number of products all at the same time and trying to get those out. And so you – we tend to try to get into a more regular cadence of development and launch then these spikiness that you might see at the moment.
Martin Yang: Got it. Makes sense. My last question is on your geographic expansion, can you maybe highlight a couple key milestones we should watch for, for the rest of the year and also address, is there any potential regional competitors you will be running into and how you plan to differentiate itself against those regional competitors in – versus Europe?
Tom Wilkinson: Sure. So probably the first thing that you can watch for is the continued addition of partners, regional partners in the form of resellers and distributors, that's sort of where things start. I mean, I don't think you're going to be able to see us in our efforts of hiring, but we do have hiring underway. We have two sales professionals in Great Britain right now and we'll be expanding. Ultimately, I mean – ultimately we'll be reporting our revenues regionally for everyone to be able to see the progress, but it is new territory for us in a lot of ways. We're going to get started, we're going to have a ramp and we have – we do have sales now into Europe that we've recorded in Q1. So everything is looking very promising. And now, as far as count competition goes, there are differences in different regions. The North American product regime is a lot more strict than it is in any other part of the world, as far as the quality of our devices. We believe that our U.S.-based branded products, but actually be seen as a premium product in the rest of the world and in Europe as well. There are numerable small competitors that do exist all over the world, we just don't see them quite as much in United States, unless we see them advertised as unlocked products on Amazon. But we're not a consumer product, we're selling to business and these products are bought as much as they are sold. So we believe that our partners will be helping us identify large-scale opportunities, the differentiation in our products will be clear the, – they are truly more rugged and have more functionality than any of the competitors that we might run up against. So we're confident that as we get opportunity, we will be selected and be successful outside of North America.
Martin Yang: Great. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tom Wilkinson for any closing remarks.
Tom Wilkinson: Thank you for joining us on our call today. We will be participating in a number of investor conference events throughout year end, and we'll announce these by press releases may occur. If any of you would like to arrange a call with management, please reach out to Matt Kreps and Darrow Associates, his contact information is listed on our press releases. We would be happy to arrange a phone call if needed. Thank you.
Operato: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.